Operator: Good day and thank you for standing by. Welcome to AYA Gold & Silver’s First Quarter 2024 Results Conference Call. At this time all participants are in a listen-only mode. After the CEO's presentation there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to turn the call over to Ruth Hanna, Manager of Investor Relations and Communications of AYA. Please go ahead.
Ruth Hanna : Thank you, operator. Good morning, everyone, and welcome to AYA's First Quarter 2024 Results Conference Call. My name is Ruth Hanna, and I'm dialing in with the AYA team from Montreal, on Marrakesh this morning. On the call today, we have Benoit La Salle, President and CEO; Ugo Landry-Tolszczuk, CFO; Raphaël Beaudoin; Vice President Operations; and David Lalonde, Head of Exploration. We will finish today's event with a Q&A session with the team. Please contact our IR team directly with any follow-up questions that are not addressed during the call. Before we begin, I'd like to remind listeners that today's event will contain forward-looking statements that involve risks and uncertainties that could cause actual results to differ materially from those in the forward-looking statements. Details of the forward-looking statements are contained in our May 15th news release as well as on SEDAR+ and on www.ayagoldsilver.com. With that, I would like to turn the conference over to AYA's President and CEO, Benoit La Salle. Benoit, please go ahead.
Benoit La Salle : Thank you, operator. Thank you, Ruth. Thank you, everyone, for being on the call this morning. As we indicated last time, 2024 is a transition year into a new AYA with a new production profile. So let me take you through some of the highlights of the quarter. So I will be on slide Number 3 of the presentation that you have. So as the first milestone of the quarter, which I think is probably one of the most important ones, we've continued advancing the Zgounder Mine Expansion to plan. We are on time and we are on budget for commissioning in Q2 2024, which means in June of 2024. An important element, we had indicated previously that we were aiming for a stockpile of 260,000 tons of ore to start the commissioning and I'm pleased to say that at the end of the quarter we are at 275,000 tons of ore for commissioning of the new mill. Another milestone, we've delivered a steady quarter that provides runway for delivering objectives and guidance. We are maintaining guidance. In the quarter, we produced 366,000 ounces, which is lower than what some of you expected, but is in-line with our planning because we knew that we were getting into lower grade material, in the benches of the open pit mine, we had to strip the first two benches which we knew were lower grade and were oxidized. We also were getting into the underground stope extension and in the stope extension we had seen that there was lower grade material, but we wanted to get that material out before we start backfilling those stopes. So -- and in addition, there's always some sequencing. The revenue for the quarter stand at $5.1 million, clearly lower than anticipated, but we know that we took 157,000 ounces of silver that we have now in inventory, and this is why we say that there's a temporary increase in silver concentrate and we push those over to Q2 where we were able to get $4 an ounce improvement on the selling price. Hence, there's a net loss for the quarter of $2.5 million, and which also has directly affected our cash costs because of the lower production and the lower sale. It has directly affected our cash costs, which is at $20.31, which is not representative of the cash cost of this company going forward nor it's a question of denominator in the quarter. As well we end the quarter with improved liquidity. We close the quarter with $111 million in cash and cash equivalent. You know we're reporting in US dollars. So $111 million, which is a major improvement from the previous quarters. We drawdown an additional $25 million on our EBRD loan for a total of $85 million. We won last yesterday a prize on the EBRD loan for Africa as one of the top natural resource loans in our industry. We finished the quarter with a strengthened portfolio and we delivered and updated Boumadine mineral resource on April 15th of this year and which is a very strong baseline for continued development and expansion. Furthermore, we've also increased the land package at Boumadine. Currently we've increased our land package by 346%. Moving on to Slide number 4. It's extremely important for us to tell you and to reiterate that we are maintaining guidance for the year. Though the production for Q1 is at 366,000 ounces, we're maintaining guidance between [$2.6 million and $3.2 million] (ph). We're maintaining our cash cost guidance between [13% and 14.5%] (ph). And the average grade process between [215 and 240] (ph), regardless of the fact that in Q1 we were lower because we knew and I explained why we are lower and it was planned accordingly. The mill recoveries were at 81.8% in this quarter, lower than what we normally see and this is because of oxidized material coming from the open pit. The oxidized material in -- with our current two plants doesn't get the same recovery. In the new plant it will get the same recovery of the high 80s or low 90s but in the current two plant it doesn't so this is why this quarter we have a lower recovery. On the other hand we have a very good availability KPI. The two plants were available at 96% and therefore extremely high KPIs on availability. Moving on to slide number 5, just a quick chart on tracking the last five quarters. So you see that the silver production is lower this quarter but as we indicated 2024 is a transition year into a very strong 2025 year where the new plant will be in production. Same thing when you look at the bottom left when you look at grade 173, this is where -- we this is the reality of what we buy in this quarter but it does not represent the long-term grade of this project. Mill recoveries, I just explained it to you. The reason we lost 5 points is because of the oxidized material, something that will not happen again as we have taken off the two benches the top benches of the open pit and now we're into fresh rock. And the ton process that is very, very good. And that's an extremely good point the two plants are running extremely well, and we were running almost at 900 ton a day. You remember that when we took over four years ago, we were running at 2,300 ton a day, and now we're running above nameplate capacity, even above 15% nameplate capacity. So this is a very strong KPI. Moving to Page 6. Cash flow from operation, clearly because of the fact that we've delayed revenue and that we produce a little bit less than anticipated. We have a negative cash flow. However, the $10 million is overstated as we also reduce the payable by $9 million. So the operating cash flow from activity if you remove the payables is more like negative $1 million. The gross margin is affected because of the low revenue which is a function of the fact that we pushed over 157,000 ounces of silver to Q2. Cost of sale is in-line with the revenue that we recognize. And the cash cost has indicated as a function of the denominator and does not represent the cash cost going forward. Moving to Slide number 8, the Zgounder expansion. We've been showing you monthly videos of the expansion. You can track it, you can see it. The expansion is moving smoothly. Very happy to say again at the end of this quarter that you know we are on budget and that we will be completing the plant expansion by the end of June before we get into commissioning and that we will be on budget as all the items have been secured, all the equipment is on site, and now it's really a matter of construction. The underground development is on track as well. 94% of the lateral development is done and 83% of the vertical development is completed. Though the vertical development is not the one that's needed for the commissioning, it's really more the lateral development. The important items that can always affect your timing, the Power line, Merrill Crowe, Silver Room, all of that is on time and on budget. It will all be completed in the next few weeks. The haulage and the open pit road, you've seen those on the videos. They're really looking very good. They're well done and are functional at the moment. And the garage, you will see that hopefully in the next video, we have a beautiful underground garage that is complete and has been completed and is very well built. So all the civil and the concrete work is completed. The cyanidation tanks are there. The electrical substation you will see, warehouse and workshop have been completed. So we are coming to the end of the construction in the next few weeks and getting into commissioning. Another element is we've been through a fourth audit by EBRD on all of our ESG for the loan, the $100 million loan that we have. So you see this on Page 9, you see one of the water reservoirs, you see the 87% completion of the plant, the electrical substation, and we have therefore completed the audit with EBRD and for a fourth time we are in compliance with all the requirements. Moving to Slide 10 in the presentation, it's about exploration. AYA in 2024 will be drilling 145,000 meters on Boumadine and on Zgounder, mainly obviously on Boumadine. And at the end of the quarter of a program of 15,000 meters at Zgounder main zone, we have 8,700 meters completed. We have five drills -- between five and six drills turning at Zgounder at all times. And on the Zgounder Regional, we've completed 3,000 meters out of 10,000 meters. There, we're working with the team on identifying targets and testing some targets on the Zgounder regional. Whereas on the Zgounder mine, we're drilling the main structure, which we are mining now, and some very close structures that are to the east and to the south of the current mine. At Boumadine, where we're drilling, we have a program of 120,000 meters. At the end of the quarter, we were 11,332 meters done. That 120,000 meters, you recall, is divided into 60,000 meters to expand the 4.2 kilometer strike that was part of the resource update that we published on April 15. That is ongoing. And there's 60,000 meters on new targets that is also ongoing. Furthermore, the MobileMT geophysics is probably 80% completed at Boumadine and it's just been completed at Tirzzit. Moving to page 11, just in the quarter, we had some again, very strong drill results at the main zone at Zgounder. We are 50% completed, as I just said and some of the results, especially the ones getting closer to the granite at the bottom of the structure, we are hitting some very, very nice zone of a thousand gram per ton over 30 meters and 322 gram per ton over 70 meters. So again this is ongoing, there'll be more results, the drilling is going well. We have four underground drills that are turning 24x7 and we intend to have all of these drills in the coming months. On page 12 is a review of the Boumadine permit. That's the first permit. That's the original permit that you see on page 12. That's the one that we acquired in 2012, way before our time. That's the one we did the geophysics 18 months ago and understood that there was a mineralized zone which we've drilled and that's -- on that mineralized zone that we've put out a resource update. So as we indicated you know it's a 120,000 meter drill program. As of now year-to-date we're 27000 meter done. At the end of the quarter, we were 15,000 meters done. And just recently this week, we put out some results. So it's post the end of the quarter, but it's within this week where we've announced that we've extended the mineralized zone from 4.2 kilometer up to 5 kilometer. You recall that this is a geophysics anomaly that we see at surface on 6 kilometer. We're also seeing it on surface but not with the geophysics to go all the way to the north of the border and going south as well. So this is our Boumadine project and it's continuing. We're drilling on it and we've added many, many new permits to increase the footprint of this district that we're currently developing. The [MET tests] (ph) were announced last year, nothing new except that we're continuing the test and we're continuing the work to identify what method will be used in the processing but that's going to come much later in the year. On page 13 you have just some recent highlights of the drill health. Again seeing some very good grade at Boumadine, a very good gold grade, you know, six gram per ton, 116 gram per ton silver, zinc, lead and copper. This project is polymetallic and the results that we've showed you at the beginning of the week are extremely strong results. Moving to page 14 and 15, just a quick update of the resource that we put out on April 15. We had indicated an inferred resource. The summary is on page 15. What we were showing is in silver equivalent it's 352 million ounces in silver equivalent. In gold equivalent it's 4.1 million ounces of gold equivalent. But at the end of the day, if you look at the metal per se, it's 72 million ounces of silver and it's 2 million ounces of gold in the actual metal, all of that at very good grades. So it's a strong project where we will be reporting more results as we keep drilling. But that, on April 15th, we put out the first resource from our team, which is the beginning of many more updates to come in the months and years to come. Closing on the ESG and on page 16. As you all know, we are extremely involved and locally, the ESG values are really in within our values at AYA, and hence the reason where we were able to obtain that $100 million funding with EBRD. So we have on health and safety, we have four small incidents this quarter. We had none last quarter, four small incidents this quarter with subcontractors where we had a few lost days. On the training though, we've increased the number of hours by 150% to almost 3,000 hours of health and safety training in the quarter. If you are part of our LinkedIn group you will see pictures of the health and safety and all the programs that we have in place because we do post regularly what is being done on site. On the EBRD CTF milestones, we're 90% completed for the second milestone. You recall that this gives us a rate reduction, an interest rate reduction on our CTF funding. So we're almost there. We should be there in the next quarter. On community development, we have launched classrooms for children and for some of the villages on literacy classes, on math classes, and we have very good participation from the local communities. We also organize health clinics. So we had audiology clinics, mobile clinics in 2 of the villages around the mine. And we also have agriculture, which you know is a key value to AYA. And we do help the local population with agriculture. In the region where we are, it is saffron that is being cultivated and we are helping the local families and small farms with new technology and we're really helping them in getting better yield from their small farms. To conclude, and the takeaway is that we -- Boumadine is really moving on all cylinders with 120,000 meters of drilling. 7 drills are turning 24x7. Results are coming in and this is a key asset to AYA and we are on track with the program and we are waiting for the geophysics because you see the picture on page 17, the helicopter with doing the geophysics. And then we are on track to get the geophysics in June and the inversion of the geophysics in June in order to identify additional targets on all of the new permits that we have obtained and on our original permit as well. The second takeaway is 25,000 meters of drilling at Zgounder and Zgounder Regional. That is on track. There's a team on this as well and we're looking at many new targets. On the construction, the 2024 milestone for the plant expansion, as we indicated, commissioning will start. We will communicate when we start and what section of the plant being commissioned and that you can expect that in the coming few weeks. We expect commercial production in Q4 of 2024. We're maintaining again guidance -- we're maintaining cost and production guidance. So that is a fact and we're saying it again. And we're also maintaining our ESG milestones and values. It's part of our values, it's part of our team and that's something that we have completely integrated from top to bottom of the organization. And on page 18, I'd like to show you our power line. We're very proud of our power line. It is 340 pylons. It is a beautiful power line, high voltage that is coming from the bottom of the valley all the way up to 2,200 meters where the plant is. We have started commissioning it slowly with the government and we're almost done. We're almost done. It's high voltage. You remember, it's green energy. It's a PPA, it's a 20 year PPA signed with the local company. It's green energy, it's high voltage and it's less expensive than the current energy that we're receiving which is you know the regular grid. So this is almost done. It's an important project for the mine. And it will be ready and commissioned for the beginning of commissioning of the other parts of the plant. So operator, that completes the official presentation of Q1. We are ready for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Eleanor Magdzinski from SCP Resource Finance.
Eleanor Magdzinski : Can everyone hear me okay?
Benoit La Salle: Eleanor, Can you speak up a little bit?
Eleanor Magdzinski: Oh, yeah. Yeah, classic headphone case. Can you hear me better now?
Benoit La Salle: Much better, yes.
Eleanor Magdzinski: Okay, wonderful. Okay, well, thanks very much Benoit and team for the presentation this morning and great work to everyone for the efforts over the last quarter. I just wanted to ask a question about upcoming I guess throughput while commissioning. We kind of anticipate the grades to be a bit on the lower side because that's typical in the commissioning stages. But just curious what the plant capacity is kind of budgeted or expected over the next I guess Q2 and Q3, while commissioning takes place.
Benoit La Salle: So, Eleanor, first of all, we're going to be running this with the stockpile. So clearly, as you know, now we have, at the end of the quarter, we have 275,000 ton on the stockpile, which runs around 170 grams per ton which we've been accumulating and that's what we're going to be using. And on the commissioning front, well look -- we'll start at the end of June and very slowly. We hope that we're going to have -- we have completed that at the end of September, beginning of October, where technically the new plant is 2,000 tons. But I don't believe we're going to be running at 2,000 tons to start. That would be a dream. It would be very, very difficult. It's still very difficult to say. The beauty is the two other plants are running at almost 900 ton a day that's going to continue and after that it's going to be a normal ramp up. Raphaël, is there any number you have in mind to--.
Raphaël Beaudoin: Well the plant is designed for 2,000 ton a day and we we've taken nominal contingency on it as we should. So as we maintain guidance, we start commissioning in June and we'll have a ramp up of we hope that it's fast and to have commercial production in Q4. So we'll have a ramp up during Q3 and hopefully achieve full capacity through Q3 and have stable operation in Q4.
Eleanor Magdzinski : Okay awesome and just one last follow up I guess so in Q4, I mean assuming kind of everything kind of goes as planned over the next little bit of commissioning and you know you have steady state at 2,000 tons per day for the new plant. What sort of grades are I guess are expected or anticipated for the end of year? Because it does seem like you will be kind of unloaded, which makes sense given the timing for the commissioning and things like that, but just curious if you could speak on that at all and how that's expected to change over the next couple of quarters.
Benoit La Salle: So for the grade, it's out for guidance. So grade will continue to go up through the year and we have the stockpile but we won't only feed the new mill from the stockpile. We'll feed the new mill from the stockpile and also the ongoing two mines that we have. So we have three different stores that we can feed the new mill and adjust accordingly. But as for guidance, grade will continue to go up through the year and will adjust with the open fit, with the underground, with stockpiles to benefit as much as we can from the performance of the new plan.
Eleanor Magdzinski : Okay, awesome. Thank you so much. That's my only question for today. Really appreciate it and I look forward to chatting soon. Thank you.
Benoit La Salle: Thank you, Eleanor.
Operator: Thank you. One moment for our next question. Our next question comes from the line of John Sclodnick from Desjardins.
John Sclodnick: Yeah, thanks guys. Thanks for taking my question and yeah, good to hear the expansion is on track and budget. I guess just following up on Eleanor's questions there and I guess trying to get a little more specific on the quarterly cadence of production, is it fair to think that in Q4 we could be getting roughly like 40% of the annual production in that quarter alone?
Benoit La Salle: That's 40% of the 3 million, just for simplicity, would be 1.2 million. It's difficult to say. It depends on the ramp up, John. But we know that the grade is getting better, that we know, because the open pit has got better grades and so does the underground.
Raphaël Beaudoin: Like done last month, I think we give annual guidance. We're in a ramp up. Our objective is to hit annual guidance. For sure, I think we gave you guys a pretty good idea of when we think commissioning is going to be, when we think ramp up is going to be. So I think we'll stick to that and look, we expect to meet guidance from here to the end of the year.
John Sclodnick: Fair enough. Yeah, it was a sneaky way to ask for quarterly guidance. And I guess the other one, just any curiosity in terms of that -- the concentrate that was held in inventory, that was just a shipping timing issue, I'm assuming?
Benoit La Salle: That's right. That's what we waited for the concentrate. We were looking at the $21 price. We did not like that and we had $157,000. We could have shipped before the end of the quarter or after the end of the quarter and we waited and we didn't do that in the past, but if you look at Q1, the average selling price was lower and we kind of made the right decision because we got $4 extra.
John Sclodnick: Interesting. Okay, yeah. That's kind of a bit of a new approach. I know it's been -- yeah, I guess in terms of getting even a leverage, would you ever think about adding, keeping a little bit on the balance sheet of silver?
Benoit La Salle: Well, we normally do. If you look at every time you look at the quarter end, there's always you know, because of the delivery time, because of the ingots, there's always some at the end. We haven't used this as an -- it's not -- we're not in the business of holding on like others do. And, but look, we have the liquidity to be patient and we do have the liquidity. So we were patient in Q1.
John Sclodnick: Perfect, yeah. I appreciate that. And yeah, great to see you guys are in a good financial position to finish this wrap up and that it's on track and on budget. So yeah, congrats and looking forward to more. Thanks, guys.
Benoit La Salle: Thanks, John.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Stephen Soock from Stiefel.
Stephen Soock: Hi, guys. Thanks for the presentation. Great to see the ramp up -- sorry the end of construction still going apace here. Just a quick one for me, you know the oxide material going through the mill obviously impacted recoveries this quarter. Should we expect a degree of that through Q2 and maybe Q3 as well or is that pretty much all flushed through?
Benoit La Salle: So, we tried to keep as much of the oxidized ore for the new plants because we expect performance to be excellent. We do process a little bit and we've adjusted since the plant because we do have the luxury of having two mills in operation and we expect recoveries to be up in Q2 and even more as we go along in the rest of the year and as we expose fresh ore from the open pit.
Stephen Soock: Perfect, yeah, okay, it makes sense. And then just one -- other one from me here. On the cost side now with the open pit really kind of getting into the heart of mining, are costs coming in kind of as expected? Are you seeing any sort of early indications of variation from the tech report on the cost side there?
Benoit La Salle: Yeah, on the cost side, we make reference to it. The contractor is going very, very well both on cost and on performance. So it's as we expect.
Stephen Soock: That's great to hear. That's it for me. I appreciate the answers and I'll leave the line open for someone else.
Benoit La Salle: Thanks.
Operator: Thank you. One moment for our next question. Our next question goes on the line of Don DeMarco from National Bank Financial.
Don DeMarco: Thank you, operator, and good morning, Benoit and team. Congratulations on reiterating guidance and development on time on budget. So, but I'm going to shift over to Boumadine for my question. First, can you just refresh on the timing of the regional geophysics? And if you're drilling any of these regional targets outside so the main zone or Tirzzit zones, when first assays might be available on those other targets?
Benoit La Salle: Well, Don, on the geophysics, and David is on the line, so he'll be able to add, but the geophysics was about 80% completed when we took the helicopter over to Tirzzit because in Tirzzit we know it's a flat structure and we wanted to see what would be the readout of the geophysics on this flat structure, which was a mine historically by the previous owners. So we did that and we were waiting for the helicopter to come back to Boumadine and then as soon as it's back, we will complete whatever is missing to the east and to the west for the geophysics program. But once we have that, then we're going to get the inversion of the geophysics data, which will show at depth the structure and what we could be looking for or will identify some targets. And only then will we look at drilling those targets. So we will review the priority targets, either on our ground or on the additional ground that we have obtained. And then with David and his team are going to decide what are the priority targets. Obviously, the deeper target to the south-east is the south-west -- is extremely important but until we have the data, we don't know if it's how deep it is and how big the target is.
Don DeMarco: Okay. Okay, we'll stay tuned for that. And thank you for that. Also, sticking with Boumadine, you know, I recognize that the processing method is not finalized. You're looking at a number of different options, ruling out some. But based on the testing that's been done to-date, what's the range of recovery that you might expect for the different metals?
Benoit La Salle: We have it on the presentation. If you go back to the presentation that we've given you. Let me just go to it. On page 12, at the bottom through the initial metallurgical test work, the initial recoveries for silver, gold, lead, and zinc were, are shown there. So obviously this is just the beginning. It's -- we did quite a bit of work, but it's just the beginning of what we're going to be doing this year and for the beginning of next year in identifying what's the best method. But we wanted to debug the system and to show that regardless of the fact that the second transformation is where the gold and silver gets liberated, the technology exists, it is available, and it's just a matter of completing the PEA. But for us to complete the PEA, we need to know quantity and the size of the deposit, and that we don't know yet, and that's – it’s all about geology. So David has got a very large budget, as you know, to drill this, and if we need to drill even more we will to understand the size and with that then we'll be able to define what method we want to use.
Don DeMarco: Okay, and are you seeing that you would potentially apply the same method over all areas, or are you seeing sort of differences in mineralogy that might warrant different methods for some areas, for some zones?
Benoit La Salle: Well, any deposit would have different lithologies and different sections which would react differently to process. So part of the PEA and the next study will be to include geometallurgy to try to capture that, which we have done a bit so far. I mean this test work was done on composites from all current sections of the deposit.
Don DeMarco: Okay, well thanks a lot. That's all for me and Benoit good luck with the start-up commissioning this quarter.
Benoit La Salle: Thank you, Don.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Puneet Singh from Eight Capital.
Puneet Singh: Thanks. Good morning, guys. I just want to stick with Boumadine. I wanted to talk about the Tirzzit zone, the geology there looks different and you have that big 8,000 grams per ton. I just wanted to get David's view on why that looks different and what are you initially seeing there.
Benoit La Salle: David is on the line, so we're going to use his skills.
David Lalonde: Okay, hello Puneet. I'll try to answer the question as good as possible. First of all, Tirzzit is very similar to Boumadine. The only geological difference is that we have a little bit more of mafic dykes in the surrounding. But otherwise, Tirzzit is the same mafic sulfides as we have throughout the deposit. The intersection with the 7,800 gram, as mentioned in the press release, is related to a different geology, different events that cross cuts the deposit. So this is an intersection of the east-west structure that we know we have through the whole property. But the new -- the further drilling will target those expressively, so we'll know a bit more. But so far we see low sulfidation epithermal geology, so a quartz carbonate vein breccia type with some bandings and epithermal texture with lots of silver rich galena and most likely silver rich sulfur salts in that. So this intersection does not represent Tirzzit. It mostly represents east-west laid structures that cross cut. So it's a new type of intersection that we haven't got much so far on the property because we were never drilling those specifically. So those structures are basically parallel to the main drilling section that we are doing in order to test Tirzzit and before that, we might have a main trend. But as we progress during the year, we will have some specific drilling targeting those structures.
Puneet Singh: Okay, got it. So, it's kind of too early to say how this fits in with the other targets, right? You guys use geophysics and then you'll kind of decide what you want to chase.
David Lalonde: Yeah, exactly. For the geophysics, the geophysics will probably show more the Boumadine type structures, the Tirzzit type structure because of the abundance of a pyrite and other sulfides, so highly conductors, but we are tracking closely the North 30 and the North 70 and the east-west structure, both with the mapping and the fieldwork and also the drilling. But that will progress and evolve as the year goes on, and we will always reallocate a priority where we have the belief it can return more ounces in the resource or the value.
Puneet Singh: Okay, got it. Thanks.
Operator: Thank you. At this time, I would now like to turn the conference back over to Benoit La Salle, President and CEO for closing remarks.
Benoit La Salle: Thank you, Operator. In closing, let me just walk you through some of the key milestone of the quarter. And as we indicated, it is a transition quarter. It is a transition year as we're gearing up for a new production profile next year. But the highlight of the quarter is the construction of the new plant is on time and it's on budget and the commissioning will be starting in a couple of weeks. One of the highlight of the quarter is there's 157,000 ounces that was produced in Q1 but sold in Q2 and will come into the revenue of Q2 and that was done creating a profit or an additional revenue of $4 an ounce. So in hindsight, we can see that it was the right decision. The open pit is now ready to expose higher grade ore, which is what we were looking for, and that is now that is done. The stockpile is an important element because it is security for commissioning and at the end of the quarter we were at 275,000 ton. As of now we are at [290,000] (ph) which is as I indicated the original planning was to be at [260,000] (ph) so we're ahead on mining and we have almost three months of stockpile once we're up and running through and throughout the commissioning. And to finish the Boumadine program is continuing. There's 7 drills turning. We are drilling this the 60,000 meters on the current geophysics anomaly which we know is 6 kilometer long. We now have drilled it on 5 kilometer. We've reported resource on 4.2 kilometer. And this will continue. And as we will receive the geophysics interpretation and the inversion of the data, we will identify new targets and we will drill on some of the new targets. And to close, I would like to say that we are fully funded. You saw that at quarter end our cash position is $111 million US dollars. Zgounder as you know is cash flow positive on a yearly basis. It pays for all of its exploration and we will be spending this year in exploration approximately $35 million dollars between Boumadine and Zgounder and we do not expect to need money we will always maintain a cash position that will exceed $50 million. So we are in a very good position to see through all of our exploration programs. Of course the construction is just about done and that is fully funded. So we have a company where we have a lot of geological uptime and where the construction risk and the financing risk is behind us. So thank you for your time. Thank you for being there today. And we will obviously talk to you during the course of the quarter, and if not, at the next conference call. Thank you, and thank you, operator.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.